Disclaimer: *NEW* We are providing this transcript version in a raw, machine-assisted format and it is unaudited. Please reference the audio for any questions on the content. A standard transcript will be available later on the site per our normal procedure. Please enjoy this timely version in the interim.:
Operator: Good day and welcome to the Sotherly Hotels’ fourth quarter 2020 earnings call and webcast, all participants will be in listen only mode. [Operator Instructions] Please note this event is being recorded. I would like to turn the conference over to Mack Sims. Please go ahead.
Mack Sims: Thank you and good morning, everyone. You did not receive a copy of the earnings release, you may ask on our website sotherlyhotels.com in the release. The company is reconciled all non-GAAP financial measures, the most directly comparable gap measure in accordance with REG-G requirements. If any statements made in a conference call, which are not historical, they constitute forward looking statements. Although we believe the expectations reflected, any clear looking statements are based on reasonable assumptions. We can give no assurance that these expectations will be attained. Factors and risk that can cause actual results to differ materially from those expressed or implied by forward looking statements are detailed in today’s press release and from time to time in the company’s filings with the S.E.C., the company does not undertake a duty to update or revise any forward-looking statements. With that, I’ll turn the call over to Scott.
Scott Kucinski: Thanks, Mark. Good morning, everyone. Let’s start off today’s call with a review of our portfolios. Key operating metrics in the quarter in the year, looking at results for the composite portfolio, which remain fully open during the quarter, Rivoire decreased sixty two point three percent over prior year, reflecting a fifty two point six percent decrease in occupancy and a twenty point four percent decrease in ADR for the year. Portfolio report decreased to sixty point eight percent over prior year, with the fifty six point four percent decrease in occupancy and a ten point one percent decrease in ADR. These metrics were generally in line with our market competitors and ahead of the upper upscale U.S. lodging segment for the quarter and for the year, the lodging industry’s fourth quarter performance continued to be firmly influenced by COVID-19 impact on travel demand as well as macroeconomic factors. Well, the third quarter showed gradual improvement. The fourth quarter is choppier. October results were relatively strong, driven by leisure travel and a modest recovery in business and group travel. However, we experienced a decline in demand in November December as a third wave of COVID-19 led to a record number of cases, hospitalizations and every implementation of travel restrictions in some municipalities. Examining our results on an absolute basis for the portfolio highlights, of course, uneven performance as grandpa was forty three dollars and seventy eight cents in October and thirty five dollars and sixty seven cents in November and thirty six dollars and fifty six cents in December. Despite the challenges faced during the quarter and December, are staff strong sales efforts resulted in the highest level of group bookings since the outset of the pandemic, highlighted by the return of return of film industry crews, the Georgian Terrace in Atlanta. We were also able to close out the year on a high note as our warm weather leisure destinations, including Savannah and our Florida properties in Jacksonville, Tampa and Hollywood all experienced strong pickup leading up to the New Year’s holiday. The improved group and leisure performance has carried through to the New Year as green shoots in these segments suggest the beginning of a sustained recovery is on the horizon. Looking at more detailed property highlights for the quarter, our Doubletree in Jacksonville continued to outperform the market, achieving a report index of one hundred and forty six for the quarter, gaining 2700 basis points in share in the quarter. The outperformance was due to a small group business, an uptick in transient business, travel and weekend leisure business photo album and Tampa continue to ramp up following its renovation and conversion, achieving a Rampa index of 125 for the quarter, gaining 4900 basis points this year from his competitors. We are optimistic this hotel has even more room to grow, share and firmly positioned itself as the market leader during the quarter, the Georgian Terrace in Atlanta outperformance new competitive set, which consists exclusively of luxury properties achieving a rep our index of one hundred and twenty one percent, a gain of seventeen hundred basis points in share. The outperformance is due to the return of the film group’s we mentioned, as well as Weekend Leisure Business, both of which have been severely disrupted during the pandemic. Turning to corporate activity in November, we successfully transitioned the management of the Hyatt centric Arlington to our town hospitality. With that transition, our town now manages one 100 percent of our portfolio, which should continue to improve the efficiency and effectiveness of our day to day managerial effort. We continue to work with our lenders and to date have successfully completed a variety of modification and forbearance agreements across the majority of the portfolio, which generally allows us to defer payments of principal and or interest for periods that began back in April. 2020. And that extends through various dates extending ending between February of 2021 and December of 2021. They also waive or modify covenants in order to keep the loans in compliance. To date, the only loan not in compliance with its covenants is the mortgage loan secured by the Doubletree Resort Hollywood Beach. However, we are in active negotiations with that special servicer to finalize a forbearance agreement. During our last earnings call, we referenced our monthly cash burn rate and the need to address the company’s shrinking liquidity pool. At the end of the year, we announced that we entered into a loan agreement with affiliates of Kamins Wilson Hospitality LP and a co-investor, an aggregate amount of twenty million dollars with an additional ten million dollars available to drop by year end 2021. The loan matures in three years and will be payable on or before the maturity date at the rate of one point forty seven ex the principal amount borrowed during the initial three year term with a one year extension as a company option. The loan also carries a six percent current interest rate payable quarterly during the initial three year term and includes certain covenants such as borrower one-year liquidity thresholds. We believe the loan satisfies our immediate need for liquidity that will provide us the bridge to a sustained recovery for the industry. I will now turn the call over to Tony.
Tony Domalski: Thank you, Scott. Reviewing performance for the period ended December 31st. 2020 for the fourth quarter, total revenue was approximately fourteen point six dollars billion, representing a decrease of approximately twenty nine point seven million dollars, or sixty seven point one percent over the same quarter a year ago. For the year, total revenue was approximately seventy one and a half million dollars, representing a decrease of approximately one hundred and fourteen point three dollars million or sixty one and a half percent over the prior period hotel the EBITDA for the quarter with a deficit of approximately one point nine dollars million, representing a decrease of approximately eleven point two dollars million or one hundred and twenty percent over the same quarter a year ago for the year, Hotel EBITDA with a deficit of approximately three point two dollars million, representing a decrease of fifty point two dollars million or one hundred and seven percent over the prior period and adjusted FFO for the quarter with a deficit of approximately ten point seven dollars million, a decrease of approximately eleven point seven dollars million over the same quarter a year ago. And for the year, adjusted FFO was a deficit of approximately thirty six point two dollars million, representing a decrease of approximately fifty three point four dollars million, or over 300 percent over the prior period. Please note that our adjusted FFO exclude the charges. Related to the early extinguishment of debt gains and losses on derivative instruments, charges related to an aborted or abandoned securities offering cost changes to the deferred portion of our income tax provision as well as other items. Hotel EBITDA excluded these charges, as well as interest expense and interest income, corporate, general and administrative expenses, and the current portion or the cash portion of our income tax provision and other items as well. Please refer to our earnings release for additional detail. Looking at our balance sheet as of December 31st. The company had total cash of approximately thirty five point three dollars million, consisting of unrestricted cash and cash equivalents of approximately twenty five point three dollars million, as well as approximately 10 million dollars, which was reserved for real estate taxes, capital improvements and certain other items. The company estimates the average monthly cash generated at the hotel level for the first quarter to range between 500000 and 600000 per month. Thus, we believe that this will be the first quarter our properties will achieve positive cash flow. Since the start of the pandemic, we expect corporate level expenses range between five hundred and five hundred fifty thousand per month. Capital expenditures are estimated to range between 250000 and 350000 per month, and outlays for scheduled payments of principal and interest are expected to range between one point one and one point four or five million dollars per month. Overall, we’re expecting a total cash burn of approximately four and a half million dollars for the first quarter. At the end of the quarter, we had principal balances approximately three hundred and ninety point three dollars million in outstanding debt at a weighted average interest rate of four point sixty six percent, approximately 87 percent of the companies that carried a fixed rate of interest during the fourth quarter. We remain committed to our action plan in coordination with our management company to reduce hotel operating expenses and mitigate the impact of the loss of business. Although we reduced hotel operating expenses by approximately fifty three percent from the same quarter a year ago, hotel operating expenses exceeded hotel revenue by approximately one point nine dollars million. We have also significantly scaled back our capital projects and anticipate the capital expenditures, which primarily represent the replacement of systems critical to the operation of our hotels, will amount to approximately four million dollars per calendar year 2021 as a result of the majority as a result of the majority of our wholly owned guestrooms undergoing renovation over the last five years, we feel the portfolio is in a good position with no required renovations through the end of 2020 one. Last March, we announced the suspension of our dividend and deferral of payment of dividends announced in January. The suspension and deferral eliminate a draw on the company’s cash reserves of approximately four and a quarter million dollars per quarter. The company continues and will continue to have discussions with its lenders regarding anticipated noncompliance with the financial covenants and the agreements that include them. Based on these discussions, the company believes it will continue to obtain waivers from its lenders under agreements that articulate noncompliance as in the event of default. However, no guarantee can be made that such waivers will be obtained. Neither can we guarantee that obtaining these waivers will not come without additional incurring additional costs, increased interest rates or additional restrictive covenants and other lender protections related to such loans. I’ll now turn the call over to Dave.
Dave Folsom: Thank you, Tony, and good morning, everyone. Filled with unprecedented challenges, 2020 was the most difficult year in history for the modern lodging industry as well as our company. The covid-19 pandemic caused the most severe contraction for the lodging industry ever recorded, including the financial crisis of a decade ago, the Great Depression and any number of other economic recessions or downturns over the past century. While we recognize the challenges facing our industry, are far from over. We are happy to say that 2020 is behind us and feel it is important to review the accomplishments of our committed property and corporate level teams during the year by 2020. Difficult operating environment. We remain dedicated to effectively managing the factors within our control, including mitigating risk, minimizing losses and capitalizing on available opportunities. First, we prioritize the health and safety of our guests and associates by implementing extensive sanitation protocols in each of our hotels, which have been successful in keeping our guests and associates safe while maintaining a pleasant and welcoming lodging experience. Our stay open strategy proved successful as it enabled a quicker ramp up following the pandemic’s initial demand shock and allowed a continuous sales effort throughout the course of the year. The company focused on mitigating the pandemic’s financial impact by delivering on stringent property and corporate level cost reduction initiatives implemented during the first quarter, including the layoff of over 90 percent of hotel staff, the closure of food and beverage outlets and other non-essential guest amenities in order to shrink the cost structure of the properties and the deferral of all non-essential capital expenditures. As Tony mentioned, the increased property level efficiencies reduced hotel operating expenses by more than 50 percent, 53 percent during the quarter. At the corporate level, the company implemented several cash conservation efforts, which included the layoff of over 20 percent of the staff, a reduction in salaries and benefits for all remaining staff, ceasing all cash, incentive compensation and waiving of the quarterly director’s cash fees by the company’s board. In addition, common dividends were suspended, preferred dividends were deferred, and our balance sheet was bolstered during the second quarter by securing the proceeds through the CPA’s paycheck protection program. As we adjusted our strategy to fit the operating environment shaped by COVID-19, we manage our margins to meet the press demand by preserving occupancy, maintaining rate integrity and streamlining our operations. We recognized and capitalized on new trends in traveler behavior, which were a direct result of the pandemic highlighted by the importance of capturing transient leisure business, which was amplified by the steep decline of group and business travel as a result of management’s quick and decisive actions during the year, we believe we were on the right course to endure the waning at impacts of the pandemic and to preserve the company’s future success. As Scott mentioned, during the fourth quarter, we addressed our near-term liquidity concerns by securing a loan in the amount of twenty dollars million, which includes an option to draw an initial 10 million by year end. The loan greatly improves the company’s liquidity position and enables us to navigate the ongoing negative impacts of the pandemic. Focus on the impending recovery, manage our balance sheet our obligations, and preserve our asset base. With the completion of this transaction, we accomplished our number one objective for the fourth quarter and better positioned the company to take advantage of the recovery. Although a number of events shaped the lodging business climate during the fourth quarter, none was as significant for our industry as the approval of the vaccine. While its positive impact does not fully materialized, the vaccine is a fundamental game changer for the travel industry as it provides confidence in the ability to travel safely and serves as the catalyst needed to lift corporate travel restrictions and hold in-person events. Still, the primary contributing factor in the industry’s recovery in the near term is the rate at which the vaccine program is rolled out. While the program experienced a slow start in December and January due to strict guidelines for eligible recipients, the U.S. coronavirus vaccine supply is poised to double in the coming weeks, allowing a broad expansion of vaccination efforts and what we believe will be the subsequent relaxation of travel restrictions. Meantime, covid-19 Kaskowitz, positivity, rates and hospitalizations continue the downward trend. While TSA airline data has shown significant improvements in recent weeks, Skiffs Recovery Index, which tracks a number of leading and trailing indicators, including website visits and bookings, future bookings and achieved occupancies, reported a travel environment in January. In January, that was the best since the outset of the pandemic. A successful rollout of the vaccine is also a primary contributor to the timeline on the return of group business at our properties during the start of the New Year. We’ve been encouraged by the return of smaller groups and room blocks. As the vaccine has become more widely available, corporations and meeting planners have expressed greater confidence in the ability to safely hold larger events during the second half of the year. In January, our sales team booked more group business than during the entire quarter. Fourth quarter of 2020 social groups represent a majority of our near term group bookings, while the back half of the year should be characterized by larger corporate and perhaps citywide events entering the next phase of the business cycle. We have plenty of reasons for optimism. In addition to the improving vaccine program rollout, we believe the concentration of our properties in the southern U.S. with limited exposure to large gateway markets positioned the company well for outsized returns. Additionally, we believe there is a substantial amount of pent up travel demand. Both business and leisure travel segments consumers have amassed significant savings since the outset of the pandemic, which should support strong leisure travel once the vaccine is more widely distributed, validating the sentiment. Recent Smith travel data reported industry wide occupancy hit its highest level since October. We are cautiously optimistic that the combination of these factors will lead to a sharp increase in travel and a strong recovery for the industry in the coming months. Looking ahead, as the industry writes itself, we believe prospects will arise for season hotel companies like Sotherly to take advantage of acquisition and asset management opportunities. In addition, a number of capital providers have expressed interest in partnering and joint ventures or other structures in the lodging space. We continue to pursue such opportunities. In closing, there is a great deal of work yet to be done, but we believe our strong efforts during 2020 have positioned us well entering the recovery. We remain dedicated to making sound operational decisions to reduce losses and conserve liquidity in the near-term, while delivering long term value for their shareholders will now open the call for questions.
Operator: We will now begin the question and answer session. [Operator Instructions] The first question will be from Tyler Batory from Janney Montgomery.
Tyler Batory: Thank you. Good morning. I hope everyone is doing well. A few questions for me and I wanted to start with the comments on the positive cash flow at the property level in the first quarter. Just wondering if we could unpack that a little bit more and if you could talk about some of the assumptions broadly behind that, whether it be your occupancy levels or rates, and then also how many hotels potentially are driving that number specifically?
Dave Folsom: I would tell you that so far in the quarter, Tyler, we’ve seen a broad based, positive environment. Our January numbers were very, very attractive and we frankly, we blew by our budgets in January. It was it was very, very attractive. February is going to be pretty good as well. I think we will be on track and I think on so it’s portfolio wide. We did have some government pick up in some of our markets in Northern Virginia in January, which was also beneficial to what Tony mentioned as the hotels reaching positive hotel EBITDA is, I think, where we are as a company right now. Hopefully we’re going to continue to go in a positive direction. I will tell you, as early as you know, as close as eight weeks ago, you know, we were probably seeing 40, 50 thousand dollars a night in bookings. Now we’re seeing one hundred and fifty thousand dollars a night in bookings portfolio wide. So most of it’s transient. We’re getting smaller groups here and there, but most of it is simply pent up leisure demand. And now the restrictions are being lifted and people are more confident they’re getting out on the road. They’re getting into airplanes. Anecdotally, you know, some of the airport information that I’ve talked to from our board of directors and some other folks, airports are packed. So where they were this past weekend. So all those are good comments. And I don’t know that that’s fully answered your question or not, but that’s what we’re saying.
Tyler Batory: Yes. No, that’s very helpful color. I appreciate that. And then just follow up. I wanted to go back to the comments earlier on bookings, especially for the back half of 2021. How many of those are rescheduled business that was canceled in 2020 that has been pushed out? And how much of that is incremental bookings that are that are coming through as well?
Dave Folsom: Well, I’ll let our team answer as well. But I can tell you, last year, you know, corporate group bookings were rolling forward so you’d have a cancelation and then they booked 90 days out and then rebook and rebook because no one knew where the bottom was at the end of the pandemic. I would say some of that has rolled forward. But as you go into the new year, a lot of it went away, but now it’s automatically coming back in the second half of the year in terms of the demand. The big question mark really is, is corporate travel restrictions. You see a lot of big companies that still have not really opened the door, but all they’re meeting planners and group bookers. They’ll have not really open the door, but all they’re meeting planners and group bookers, they’re already looking around. They’re already putting what I would call shadow bookings at the hotels in anticipation of being able to do so for real. So that demand, I think, is there you’re going to have to see sort of the final unwinding of restrictions both in localities and at corporations to see those things actually become definite group bookings. Do you guys have anything to add.
Tyler Batory: Okay, and then in the prepared remarks, you talked about potentially some JVs taking advantage of acquisition opportunities that are that are out there. Just curious what you’re seeing and, you know, in your and your target markets, you know, on the acquisition side, in terms of potential opportunities, interested, what’s out there, interest if you’re seeing any distress as well.
Dave Folsom: Yeah, I mean, I think there’s more of it to come, but we’ve seen a few bankruptcy filings, we’ve seen some music sales, we’ve seen some outright marketing, traditional marketing for hotels. So the activity is definitely picking up. And I think what we would say is there is a lot of capital out there on the sidelines waiting for the right time, the right transaction and the right hotel partner to come in with and make some of these transactions happen. So, I mean, we’re seeing a lot of activity, I see quite a bit every week. So, it’s the bow wave is definitely getting a little bigger. And I think in twenty, twenty one we’re going to see a lot more activities with assets trading hands. Okay, great.
Tyler Batory: And just last question for me. More housekeeping interested, but the latest is on the negotiations with special services for the Doubletree down in down in Hollywood. Just interested, you know, how those are progressing and how you see that situation potentially playing out.
Scott Kucinski: Yeah, hey, Tyler. Scott, it’s going well, we’ve, you know, made comments before, I mean, the special service network, especially for this one in particular, is just very, very slow moving. I mean, it’s a complete logjam. And so, you know, we’ve been in continual, though, inconsistent communication. We do have forbearance terms that, you know, we could accept that, you know, but they’re, you know, ready to provide. However, you know, we continue to talk to them about some improvements to those terms and they’re receptive to that. But they’re currently, you know, continuing to go through the approval process on that. So, you know, the short answer is it’s all positive. It’s just a matter of trying to get the best deal that we can at this point. OK, great.
Tyler Batory: I appreciate all that detail. That’s all for me. Thank you.
Operator: The next question will be from Alexander Goldfarb of Piper Sandler.
Alexander Goldfarb: Hey, good morning. Just a few questions here, sort of picking up on the loans that you have in deferral where you reach resolution. I think you said that, you know, apart from the Hollywood hotel that you have, you can defer payments from, you know, February or, you know, at the latest one until December, I guess two parts to that. Something ask the first, what are the changes that you guys have seen in, you know, interest rate or covenants or any of the terms. So what are the changes that you’re seeing as the lenders agree to the difference?
Dave Folsom: Yes, there has not been any change in interest rates at this point. That hasn’t been an ask covenants. You know, luckily for us, I mean, I think almost half of our portfolio is covenant free in terms of not having any DCR covenants as part of the loan agreements. So they haven’t there has hasn’t been a requirement to do any waivers. The ones that do have debt service coverage ratio covenants or any other covenants, they just continue to modify them. They are waive them for a period of time or now we’re starting to just set them, you know, in a ramped up fashion so that they’re achievable. I mean, no lender is coming to us and saying we need to meet a debt service coverage ratio, test their understanding that that’s just not achievable. So we’re just continue to modify them in a fashion so they can be achieved and kept in good standing on their books.
Alexander Goldfarb: Okay? And then, you know, just given what you’ve outlined as far as, you know, potential for, you know, sort of second half for, you know, for corporate travel to come back, obviously, it’s great to see the pent up demand. I mean, you know, up north, we can see everyone is heading down to Florida or down south to get out of the restrictions to the north. So definitely can appreciate that. But it would seem like you guys are going to need to defer these loans into 2022. And based on Sky, your comments about the lenders receptiveness on, you know, making any covenant adjustments to be reflective of the environment, should we take it that it’s not a problem for you guys to extend these loans or defer them into twenty two? Or is your sense that the special servicers or the lenders are going to start to play hardball? And if you can’t start to do something by later this year, they may ratcheted up?
Dave Folsom: Yes, I mean, we’re obviously dealing with it, you know, loan by loan and property performance and property performance and, you know, that’s what the lenders are becoming focused on. Obviously, you know, as Tony mentioned, as we mentioned, some of our properties are cash flow positive in the first quarter as a portfolio. We expect them to be cash flow positive. And lenders are going to be looking at that as these properties, as their properties, they have a loan on becomes cash flow positive, they become less inclined to defer their payments. So, you know, what we’ve seen is, you know, most lenders have gone from deferring principal and interest to now just deferring principal, you know, and eventually that’s going to burn off. So as we get to the end of forbearance, you know, agreements and the term of those, you know, we continue to go back to the well, say and ask for more. But I think at a certain point, if the property’s generating cash flow, we’re going to get less and less receptive responses from lenders to give forbearance.
Alexander Goldfarb: Okay, and then actually that’s a good point. So when you say that, I think you said for the first quarter you expect the properties to be positive. I think collectively 500 to 600000 per month that before debt service.
Dave Folsom: Right. So. Right, right. OK. So for us, thinking about the company, you know, when you guys talk about positive at the property level, that’s just simply the operations that before that you have to talk about the debt both on the interest and the and the and the principal. And that’s to a discussion with the lender. Just because they’re generating some hotel EBITDA doesn’t mean they’re covering their debt service. And so if that’s the case and that’s where forbearance is needed, OK, then just and that’s why Tony mentioned in his remarks that the first quarter is still going to have a cash burn for the very reason you just highlighted. I mean, the properties are getting to where they’re GOP and their hotel even does is positive, but everything below the line still needs to be covered.
Alexander Goldfarb: Okay, that’s fine. And then the last question is on. You know, if you guys rebound on the business, obviously you’ve cut a lot of jobs, which is always very difficult as an employer to have to lay off people. Not easy to do. You’ve made the business more efficient, you know, whether it’s blocking out floors or, you know, limiting, you know, the amenities, services, et cetera. But as you guys reopen, is there do you envision a point where you’re going to have to re add staff or Rijad amenities before this sort of revenue picks back up just because of competitiveness? Or is your view that you can sort of maintain this more efficient business model that you’ve adopted further into the recovery before you have to, you know, start restoring, you know, some of the amenities or staffing or things like that?
Dave Folsom: Yeah, I will tell you, every two weeks I look at the payroll numbers as a percentage of revenues, and they are that percentage is plummeting. So our flow through continues to improve because as we get more occupancy and more rate, more revenue, we are not layering on additional expenses. Our internal policy with our manager and this is where it’s beneficial that one manager you can touch at all the hotels is that we’re not going to front load expenses and we’re not going to front load payroll in anticipation of increased demand. So it’s going to have to be in lockstep as we get additional bookings, as the climate improves. That’s when we think about opening up amenities, food and beverage services and additional staffing. So what you’re alluding to, what you’re concerned about is what we’ve can be concerned about for 12 months is we’ve got to match fund our revenues with our costs on a on a on a very marginally profitable basis. And we’re just not going to say the pandemic’s over, then rehire everybody. So it’s a very sensitive process. And you really have to have onsite personnel with the finger on the pulse of the business to make sure we are not overloading the assets with expenses too early.
Operator: Okay, thank you very much. Thanks. And this concludes our question-and-answer session. I would now like to turn the conference back over to Dave Folsom for any closing remarks.
Dave Folsom: Thank you for joining us on our call. And we look forward to talking with everybody in a few months.
Operator: Thank you. The conference is now concluded. Thank you all for attending today’s presentation. You may now disconnect your lines. Have a great day.